Operator: Good morning and a warm welcome to the Ingersoll Rand First Quarter 2023 Earnings Conference Call. My name is Candice and I'll be your coordinator for today's call. All lines have been placed on mute during the presentation portion of the call with an opportunity for question-and-answer at the end. [Operator Instructions]. I would now like to hand the conference over to our host Matthew Fort, Vice President of Investor Relations. Please go ahead.
Matthew Fort: Thank you, and welcome to the Ingersoll Rand 2023 first quarter earnings call. I am Matthew Fort, Vice President of Investor Relations. And joining me this morning are Vicente Reynal, Chairman and CEO; and Vik Kini, Chief Financial Officer. We issued our earnings release and presentation yesterday and we will reference these during the call. Both are available on the Investor Relations section of our website. In addition, a replay of this conference call will be available later today. Before we start, I want to remind everyone that certain statements on this call are forward-looking in nature and subject to the risks and uncertainties discussed in our previous SEC filings, which you should read in conjunction with the information provided on this call. Please review the forward-looking statements on Slide 2 for more details. In addition, in today's remarks, we will refer to certain non-GAAP financial measures. You can find a reconciliation of these measures to the most comparable measure calculated and presented in accordance with GAAP in our slide presentation and in our earnings release, both of which are available on the Investor Relations section of our website. On today's call, we will review our company and segment financial highlights and provide an update to our 2023 guidance. For today's Q&A session, we ask that each caller keep to one question and one follow-up to allow time for other participants. At this time, I will turn the call over to Vicente.
Vicente Reynal: Thanks, Matthew, and good morning to all. I would like to begin by thanking and acknowledging all of our employees for their hard work in helping us to deliver another record quarter in Q1. Our employees consistently exemplify our purpose while thinking and acting like owners to deliver on our commitments despite the constantly changing macroeconomic environment. Start on Slide 3, in Q1, we delivered double-digit adjusted EBITDA and adjusted EPS growth with strong free cash flow generation, which is up over 350% year-over-year. Fueling this performance is our competitive differentiator IRX. We continue to align to mega trends and high growth, sustainable end markets to deliver on our Investor Day commitments of achieving sustainable revenue growth. Based on the solid Q1 performance, we're raising our 2023 full-year guidance. Turning to Slide 4. Our economic growth engine continues to deliver compounding annual results. During our last Investor Day in Q4 2021, we presented this model and highlighted our organic, inorganic, and quality of earnings growth enablers. We remain committed to our strategy and our long-term Investor Day targets outlined on this page. On the next two slides, I will provide you with deeper insights into our organic and inorganic initiatives. On Slide 5, we start with our organic growth initiatives. So let's dive into how we approach the megatrends of sustainability, digitization, and quality of life. Demand Generation Excellence or DGX, which is a tool within IRX helps us to capture above market growth. Here we have six examples of initiatives that we launched during the first quarter of 2023. Important to note that these six are only a few examples out of hundreds of these initiatives we execute every quarter. I'll review a few of these examples shown on the page. Within the sustainability megatrend, we have a digital campaign example, which is focused on carbon capture system builders and integrators. This campaign generated a global supply agreement with a key carbon capture player and has also driven a $200 million increase funnel with no new product development required. For digitization, we have a great example on how we utilize IIoT to grow our aftermarket business; leveraging our IIoT connected equipment machine alerts are set up to trigger e-mail notification to our customers and Ingersoll Rand service contracts when service is needed. The result of this initiative was increased orders on new contracts for preventive maintenance. And this initiative is in its early stages and we plan to expand this approach to other key triggers in the future. Finally, at the bottom of the page, we have a great example within the quality of life megatrend. We launched a social media campaign tailored towards small farms and agriculture that increase our marketing qualified leads by 96% for Dosatron dosing pumps. These are merely a few examples of the tailwinds associated with megatrends and how we deploy our organic growth enablers to deliver compounding annual results. On the inorganic initiatives, we wanted to provide an integration update of one of our larger acquisitions since the merger to Seepex. In less than 15 months, the business has expanded adjusted EBITDA margins by over 1,000 basis points, and this margin expansion has come from a balanced approach of gross margin expansion and SG&A synergies. When we acquired this business adjusted EBITDA margins, we're in the mid-teens and we expect to deliver low-30s in 2023, while accelerating organic growth. And this speaks to the power of our M&A approach on finding phenomenal companies and then integrating them into our economic growth engine. With new acquisitions, we're not only focused on cost improvements, but also maintaining focus on growth. For Seepex, we accelerated organic growth across three levers. First, from the Seepex acquisition came a great IIoT technology, which we now have expanded and scaled across the entire PST segment. The second lever is combined Seepex technology with Ingersoll Rand existing channel knowledge to access lithium ion battery customers, and we were able to bring a mission critical product to market in less than nine months, while expanding our addressable market by over $250 million. Finally, we have also integrated Seepex pump and compressor technology to accelerate product differentiation within the marketplace by combining an air compressor with Seepex progressive cavity pump, this patented technology enables our customers to better transfer materials with controlled airflow and improved energy efficiency. As we move to Slide 7, M&A continues to be at the forefront of our capital allocation strategy. We're pleased to highlight one closed transaction and one signed M&A deal. These acquisitions add both market leading products and technologies, while accelerating our addressable market with closed adjacencies. Let me walk you through these two deals. First, Trace Analytics, which is a leading provider of lab-based testing and sampling for compressed air technologies. This acquisition has strong recurring revenue in air purity and quality across attractive markets such as life sciences, food and beverage, and pharmaceutical. Next is Gaopeng Vacuum, which is a well-established oil-free vacuum pump manufacturer that expands our product portfolio in a very attractive and growing sustainable end markets across Asia-Pacific. Our M&A funnel remains very strong, and as of today, it continues to be over 5x larger than it was at the time of the R&D. We currently have five transactions at the LOI stage, and more importantly, we have several other transactions in process which are close to the LOI stage. Based on acquisitions to-date, the five transactions are under LOI and our current M&A funnel; we are reaffirming our commitment to additional $200 million to $300 million in annualized inorganic revenue to be acquired in 2023. Moving to Slide 8. While our results have been strong and we continue to see orders and backlog growth, we do acknowledge that the market is in a state of constant change and we need to remain agile and nimble in order to respond. Over the past few years, we have transformed our portfolio to be more resilient than ever. We have a large, recurring, and highly profitable aftermarket business that accounts for approximately 35% of our total revenue, while growing at double-digits. In addition, we have divested almost $2 billion of highly cyclical assets in Club Car and high pressure solutions, and in turn reinvested that into acquisitions that are better aligned in high growth sustainable end markets. We believe that this, along with a differentiated long cycle and better geographically balanced portfolio, will ensure a more durable, stable performance in the next slowdown. We also have a proven track record of performance. For example, in 2020, during the global pandemic, we were able to expand adjusted EBITDA margins by 190 basis points year-over-year. As you recall, during the pandemic, we immediately deployed merger-related synergies to ensure we were out in front and controlling cost pretty quickly. Also, in 2019, the legacy Gardner Denver Industrial Segment delivered 70 basis points of adjusted EBITDA margin expansion and grew adjusted EBITDA dollars 3% in spite of revenue declining 3% organically year-over-year. We're constantly monitoring for early indicators of an economic slowdown and we remain nimble and ready to act in the event that markets start to suffer. We have highlighted in past earnings calls how we are able to pivot our demand generation activities towards market that are still growing. And with an addressable market of over $45 billion, we believe that there is still plenty of room to take market share. In addition, we have multiple levers to manage adjusted EPS as seen at the bottom right-hand side of the slide. On Slide 9, our commitment to become a market leader in ESG continues and we're very excited to continue receiving positive feedback from the rating agencies on our efforts. In April, Ingersoll Rand received an ESG risk rating of low with a score of 12.8 from Morningstar Sustainalytics. This rating ranks us second in the machinery industry group and places Ingersoll Rand in the first percentile in the machinery industry and six percentile of all rated companies. This is a perfect example of how we utilize IRX for agile execution across all aspects of our business. In this case, we use our own IRX execution process to grow from medium risk to low risk and are now in the top percentile in the industry and regionally. I will turn the presentation over to Vik to provide an update on our Q1 financial performance.
Vik Kini: Thanks, Vicente. On Slide 10, despite the ongoing macroeconomic uncertainty, we delivered solid results in Q1 through a balance of commercial and operational execution fueled by IRX. Total company organic orders and revenue increased 8% and 20% year-over-year respectively. Book-to-bill was 1.09 and we remain encouraged by the strength of our backlog, which is up approximately 15% year-over-year and up approximately 10% sequentially. This provides a healthy backlog as we move into Q2 2023 and gives us conviction delivering on our revised 2023 revenue guidance. The company delivered first quarter adjusted EBITDA of $400 million, a 32% year-over-year improvement and adjusted EBITDA margins of 24.6%, 190 basis points year-over-year improvement. For the quarter adjusted diluted earnings per share was up 33% versus the prior year. This includes a $0.05 headwind from increased interest expense. Free cash flow for the quarter was $148 million despite ongoing headwinds from inventory due to the need to support backlog as well as continued global supply chain challenges. Even with these headwinds, free cash flow was up more than 350% versus prior year. Total liquidity of $2.2 billion at quarter end was down approximately $500 million sequentially, and our net leverage continues to remain near all-time lows. At 1.1 turns, we are 0.1 turns better than the prior year and 0.3 turns above prior quarter. The sequential decline in total liquidity and increase in net leverage are largely driven by the timing of the SPX Flow Air Treatment acquisition, which closed in early January. Turning to Slide 11. For the total company Q1 orders grew 13% and revenue increased 26%, both on an FX adjusted basis. Total company adjusted EBITDA increased 32% from the prior year. The ITS segment margin increased 240 basis points while the PST segment margin improved 170 basis points. Notably, both segments remained price/cost, dollar, and margin positive, which speaks to the nimble actions of our teams despite persistent inflationary headwinds. Corporate costs came in at $40 million for the quarter driven by continued investments as well as the impact of incentive compensation adjustments. Finally, adjusted diluted earnings per share for the quarter was up 33% to $0.65 per share, and the adjusted tax rate for the quarter was 22.1%. Moving on to the next slide. I want to highlight that our credit rating was recently upgraded to an investment grade rating by S&P. This is a major milestone for the company and we remain focused on becoming investment grade across all of our rating agencies. Free cash flow for the quarter was $148 million, including CapEx, which totaled $22 million. And as of March 31, 2023, total company liquidity was $2.2 billion based on approximately $1.1 billion of cash and $1.1 billion of availability on our revolving credit facility. It is important to note that in April, we amended and extended our existing revolving credit facility, including upsizing the overall borrowing capacity of the facility from $1.1 billion to $2 billion. This amended credit facility not only strengthens our balance sheet, but also supports the company's growth strategy by adding additional flexibility for M&A. The increase also speaks to the credibility we have in the financial markets as this was purely an increase in borrowing capacity with all the same favorable covenants and structure from the original $1.1 billion facility. Leverage for the quarter was 1.1 turns, which was an 0.1 turn improvement year-over-year, and cash outflows for the quarter included $566 million deployed to M&A, and we returned $85 million to shareholders through $77 million in share repurchases and $8 million in dividends. As mentioned earlier, approximately $520 million of the M&A-related cash outflows were attributed to the SPX Flow Air Treatment business, which closed in early January. M&A remains our top priority for our capital allocation and we continue to expect M&A to be our primary usage of cash looking forward. I will now turn the call back to Vicente to discuss our segments.
Vicente Reynal: Thanks, Vik. On Slide 13, our Industrial Technologies and Service segment delivered strong year-over-year organic revenue growth of 24% with volume growth outpacing pricing. Adjusted EBITDA increased 40% year-over-year with an adjusted EBITDA margin of 26.2% up 240 basis points from prior year with an incremental margin of 35%. We continue to see solid demand for our products with organic orders up 10% and a book-to-bill of 1.1. And note that on a two-year stack, the ITS segment organic orders grew more than 35%. Moving to the individual product categories, each of the figures exclude the negative impact of FX, which year-over-year was a 4 percentage point headwind across the total segment on both orders and revenue. Starting with compressors. We saw orders up in the low 20% and we continue to see oil-free products outpace oil-lubricated products. Orders were up high-20s in the Americas, driven by both strong book-and-turn business and large long cycle projects in high growth, sustainable end markets. EMEA demand continues to be above market with orders up mid-teens and the Asia-Pacific team once again delivered a great performance with order growth in the low-double-digits. Vacuum and blower orders were down low-single-digits. As many of you know in this category, we have large engineer to order products like our Nash and Garo product lines. In this case, the timing of a large order in Q1 2022 not repeating was the large contributor of the decline. Our funnel remains very strong and we're not concerned about the Q1 decline at this point. The power tools and lifting business saw its best booking quarter since Q4 of 2014 with global orders up high-single-digits. Moving to the innovation in action portion of the slide, we're highlighting a differentiated carbon capture solution that incorporates three different products within the Ingersoll Rand portfolio of brands. Here, utilizing patented technology, we have partnered with a clean tech innovator to deploy a new system for industrial point-source CO2 capture. The first units are being commissioned and monitored in the U.S. and will include four Ingersoll Rand products in each model. Turning to Slide 14. Revenue in the Precision and Science Technologies segment grew 6% organically. Additionally, the PST deliver adjusted EBITDA of $95 million, which was up 11% year-over-year with incremental margins of 64%. Adjusted EBITDA margin was 30.3%, up 170 basis points year-over-year, and margins were up sequentially from Q4 of 2022. The year-over-year and sequential improvement of, in our adjusted EBITDA margins is driven primarily by price/cost improvements, and synergy delivery on acquired businesses like Seepex. Organic orders were down 2% year-over-year with a book-to-bill of 1.05. Across the PST segment, we did see strong organic order growth from all businesses, with the exception of the oxygen concentration business, which declined approximately $25 million, primarily due to long cycle frame orders received in Q1 2022 that did not repeat in Q1 2023. Excluding the non-repeating oxygen concentration business orders, the PST segment grew mid-single-digits organically. For our PST innovation in action, we're highlighting our new Seepex battery fluid pump. Here is a perfect example of how we leverage our recent acquisitions and existing portfolio to drive product differentiation and organic growth in sustainable end markets. As I mentioned earlier, we combine Seepex technology with Ingersoll Rand existing channel knowledge to access this high growth lithium ion battery customers. The unique progressive cavity design ensures zero contamination, which is mission critical to the production of precise high purity coatings and leveraging IRX, we brought this new product to market in less than nine months and expanded our addressable market by over $250 million. As we move to Slide 15, given the solid performance in Q1, and momentum from backlog, we're raising our 2023 guidance. Total company revenue is expected to grow overall between 10% and 12%, which is a 300 basis point improvement versus our initial guidance. We anticipate organic growth of 6% to 8% where price and volume remain split at approximately 70%:30%. FX is now expected to be relatively flat for the full-year. M&A remains projected at approximately $270 million, which reflects all completed and closed M&A transactions as of May 1, 2023. Corporate costs are planned at $160 million and will be incurred evenly per quarter throughout the year. The increase versus initial guidance is driven by investments for growth as well as the impact of incentive compensation adjustments. Total adjusted EBITDA for the company is expected to be in the range of $1.66 billion and $1.71 billion, which is up 5% versus our initial guidance. At the bottom of the table, adjusted EPS is projected to be within the range of $2.64 and $2.74, which is up 6% versus prior guidance and 14% year-over-year at the mid-point. No changes have been made to our guidance on the adjusted tax rate, total interest expense or CapEx spend as a percentage of revenue. All remain in line with initial guidance. However, I do want to provide an update on a recent development that affects the phasing of the guidance. Late in the evening on Thursday, April 27, we detected and took actions to contain a cybersecurity incident that resulted in a disruption of several of our IT systems. We immediately partnered with external experts to assess, mitigate, and restore these systems. In parallel, we proactively took immediate actions to maintain business continuity and minimize disruption by isolating certain systems and implementing workarounds. We expect to begin restoring the impacted systems to normal operations next week. We do not expect this incident to impact the full-year guidance we just provided on this slide, although it could result in some revenue shifting from our second quarter to the second half of 2023. In fact, as a matter of potency, we have kept the phasing of adjusted EBITDA delivery between the first half of the year and the second half of the year, consistent with our original expectations. This will imply delivering approximately 45% of our adjusted EBITDA in the first half of the year, and 55% in the second half, which generally means that the balance of our adjusted EBITDA guidance raised in addition to the Q1 outperformance will fall into the second half of the year. It is important to note also that the underlying demand environment remains healthy and in line with our expectations. And while our investigation is ongoing, at this time, we're not aware that any confidential customer information was exfiltrated. If we become aware that any such information was ill-exfiltrated, we will make appropriate notification. We remain fully committed to our customers as we diligently work to resolve the issue and restore normal operations in a safe and secure manner. I'm sharing these with you today as part of our commitment to transparency, and because this incident is still under investigation, I cannot provide further details at this time. Turning to Slide 16. As we wrap up today's call, I want to reiterate that Ingersoll Rand remains in a strong position. We continue to deliver record results and our updated guidance is reflective of our Q1 performance and ongoing backlog momentum. We are monitoring the dynamic market conditions and remain very nimble, and we're prepared for the challenges that may come. To our employees, I want to thank you again for an excellent start to the year. These results show the impact each of you have as owners. However, we're still in the early stages and need to remain focused on our commitments to meeting our financial targets and executing our economic growth engine through the use of IRX. Thank you for your hard work, resiliency, and focus actions. As we continue our track record of market outperformance, our balance sheet is stronger now more than ever, and with our discipline and comprehensive capital allocation strategy, we remain resilient and have the capacity to deploy capital to investments with the highest return. With that, I'll turn the call back to the operator and open up for Q&A.
Operator: Thank you. [Operator Instructions]. Our first question comes from the line of Mike Halloran of Baird. Your line is now open. Please go ahead.
Mike Halloran: Hey, good morning, everyone. Hopeful all is well.
Vicente Reynal: Hey, Mike.
Mike Halloran: So can you just help provide some more context on -- on Vicente's comments about the cadence and changing. So I guess twofold, right? I certainly understand the 45%, 55% splits, 1H versus 2H. Any help on the segment details? And then when you think about what the underlying demand would look like, is there any front half back half underlying demand cadence and not necessarily when it shows up in the revenue, but are you assuming anything or basically how are you assuming the underlying demand cadences as you work through the back half of the year?
Vicente Reynal: Yes. Hey, Mike, let me take a -- I'll take the first -- sorry, the second portion around the underlying demand and then Vik will talk about the cadence as you were asking. I mean demand continues to be pretty healthy. And we expect you saw a book-to-bill above 1 here in the first quarter, which speaks to the resiliency of what we're seeing out there in the market, on kind of both book-and-turn as well as long cycle orders. And our expectation is that here for the rest of the year, we're going to continue to end with a book-to-bill of 1, which obviously assumes that the backlog continues to be pretty strong here through the rest of the year.
Vik Kini: Yes. And Mike, to your first question in terms of phasing and the segment implications as Vicente indicated, we're expecting that whether you look from a total company perspective at adjusted EBITDA or adjusted earnings per share using about a 45%, 55% first half or second half split is generally in line. And I would say the segments should follow a fairly close split to that. The same should be said for corporate, which the corporate spend obviously is pretty ratable over the year in line with our revised guidance. So I wouldn't say that there's dramatic changes in the context of the segments versus the total company. And then as we've indicated before, and I think is still the case, we're continuing to remain prudent in terms of the back half of the year, particularly on the organic volume side of the equation. Just given that, you still don't necessarily have full visibility into the back half of the year.
Mike Halloran: Thanks for that, Vik. And then, Vicente following-up on the first answer there, could you maybe get some context to how the long cycle trends are tracking in the portfolio relative to maybe how some of the shorter, quicker turn stuff is tracking in the portfolio?
Vicente Reynal: Yes. Sure, Mike. I think the good news is that here in the first quarter, we actually saw good resiliency on both kind of the short cycle and the long cycle, which was very good news to us to see that continue momentum on both, which is also the reason why on that shorter cycle why we were able to even out deliver some of the price, right? So in terms of long cycle, we think that the tailwinds of sustainability on ensuring all of that continues to be really front and center. And at least our expectation is that even things like IRA, the Inflation Reduction Act, all that funding still has to come through. We're seeing some early indications funnels look very strong. You saw also a lot of communication activity around carbon capture. So at least on the long cycle side, we think that there should be more to come from that perspective while the short cycle seems to be at least in our case and in our business fairly healthy.
Operator: Thank you. Our next question comes on the line of Julian Mitchell of Barclays. Your line is now open. Please go ahead.
Julian Mitchell: Yes. Hi, good morning. Maybe a first question, if you could just size the backlog in dollar terms at the end of March. I saw you gave the percentage deltas, but maybe just give us a sense of the dollar scale of the backlog. And then, as we're thinking about the cadence through the year, are we assuming revenues are sort of flat to up slightly sequentially each quarter, and then EBITDA margins are up slightly sequentially each quarter? Is that kind of the main framework for the guidance?
Vicente Reynal: Yes. Maybe Julian, I'll talk about on the backlog. The backlog as you recall on the last earnings call, we said that we have roughly $2 billion of backlog, and that sequentially that has grown about 10%. So I mean, that can -- that right there you can say, obviously you do a very simple math. So clearly above that $2.2 billion, right? And Vik, on the cadence?
Vik Kini: Yes. Julian, on the cadence generally speaking, I would say we expect again, I'll refer back to the 45%, 55% split, as Vicente indicated, we do see potential of some revenues shifting from Q2 into the back half of the year as Vicente earlier indicated. But generally speaking here, the way we would think about it is, with the guidance array of the strong Q1 performance and still seeing 35% to 40% incrementals, we do still expect to see margin expansion on a year-over-year basis in each quarter and obviously the second half of the year will as it typically is continue to be the strongest performance both on the revenue side as well as the margin profile.
Operator: Our next question comes from the line of Josh Pokrzywinski of Morgan Stanley. Your line is now open. Please go ahead.
Brandon McCann: Hi, good morning guys. This is Brandon on for Josh.
Vicente Reynal: Yes. Hi, Brandon.
Vik Kini: Hi, Brandon.
Brandon McCann: How much of the order strength was driven by particularly the inflection in process markets? And then as a follow-up on that, when would you potentially see some of these major LNG and hydrogen projects that are being discussed showing up in your pipeline?
Vicente Reynal: Yes. Maybe Brandon on the orders, as we said, I mean, I think good momentum, good strength on both kind of the short cycle and the long cycle. If I get your question correctly, I think you were asking about maybe how much was price versus volume.
Brandon McCann: Yes, exactly.
Vicente Reynal: Yes. So I think in the first quarter, price and volume is roughly 50:50. As we go into the second -- into the rest of the year, we think it's going to be more like 70:30. And so that kind of give you an indication of kind of how we're thinking about price volume here. In terms of your second question about LNG, hydrogen, are we seeing -- I mean we're seeing definitely some clearly the -- on the long cycle, I'll say maybe more continuation what we see the most is on air separation systems and large call it carbon capture activity. So I think a lot of good momentum on these kind of good sustainability tailwinds that we have been speaking about for now the past few quarters. And so again funnel continues to be pretty strong and -- but like I said on the prior answer, I don't think that we have seen the full scope of a lot of these IRA or other green deal funds come through fruition yet. So that hopefully will give us a good indicator of that more -- a little bit more tailwind here to come.
Operator: Thank you. Our next question comes from the line of Rob Wertheimer of Melius Research. Your line is now open. Please go ahead.
Rob Wertheimer: Thank you. I wanted to ask I mean obviously ITS compressor orders are very strong, and you've touched on a couple aspects, but would you qualitatively talk about what is driving that order of strength? I know you have your oil-free, I know you've done a lot on demand generation, but is this mega projects coming through? Is it energy efficiency; is it just general CapEx renewal? Because there's a certainty in the economy and you're seeing really strong orders, so I just wonder if you can give any color around that.
Vicente Reynal: Yes, Rob, I hate to say this, but I mean it's pretty much really broad-base and I think it has to do for a couple reasons. I mean, clearly you mentioned oil-free, oil-free strong order rate at roughly as we said, 28%. So clearly very, very strong order and on a revenue perspective, even way above that. But demand generation, as we clearly indicated on that slide, I mean we do hundreds of demand generation campaigns and activities through -- throughout a single quarter. And you saw some example of some of the things that we have done in the first quarter with kind of six examples, six out of the hundreds that we do. So that tells you that in our view, we continue to be solid momentum on MQLs, the Marketing Qualified Leads that then lead into some of these order momentum. As it relates to large projects, I mean, clearly, renewable natural gas, which is very continues to be a really great sustainable way here in the U.S. particularly carbon capture. We spoke about that on the prior earnings to as well with a large order that we received on the last time, on the last earnings call, but now even this time, how we're even capturing some of these kind of new technologies or new partners to continue accelerating carbon capture technology. So it was really a little bit of everything, strong book-and-turn as well, and good pricing momentum. So I'll say Rob, I mean we -- the team did a phenomenal job heating across all aspects in the business.
Rob Wertheimer: Okay. Thank you. And if I may do another one that's a little bit less directly quarterly related, but the battery fluid pump you have on Slide 14, it's Seepex nine months from start to finish on i2V innovative value. I mean, that's fast even knowing how fast you guys move. I wonder if you could give us a quick sketch of just how that looks start to finish and how you -- how that process runs and how it goes so fast. Thank you. I'll stop it.
Vicente Reynal: Yes. Rob, thanks for that question. I tell you, this is the exciting piece and it speaks tremendously to a lot of things that we've been saying in the past. And this is just a clear example of that. And that is that we're taking basically products that are call it you could argue standard products. And then we point these demand generation canon to specific end markets that we're seeing some very good growth momentum, and then we are able to attract customers to then work on very specific solutions. And in this case, we took configure, I mean items and components of standard products, and we were able to reconfigure that pretty quickly based on the request and from some customer and doing a lot of voice of customer and going to customer visits. So I think it's -- it speaks to the process that, that holistically is connecting all the dots from how we connect to the customer, how we generate the demand, how we instigate that customer to come to us, to utilizing processes then like i2V the innovative value process that we have internally to then redesign the product and then utilize all the other IDM, IMPACT Daily Management, which is part of the IRX to then execute in a pretty rapid way and flawlessly all along the lines by making sure that we're satisfying that that customer unmet need that is today in the market. So I think it is a beautiful example on how we have been able to connect all the dots and obviously many of these are happening throughout the entire company today, but this is just one that we thought it was great to highlight again new acquisition, but it speaks tremendously about how quickly we can continue to change the cultural perspective even on new M&A.
Operator: Thank you. Our next question comes from Andy Kaplowitz of Citi. Your line is now open. Please go ahead.
Andy Kaplowitz: Vicente, the last couple of quarters of PST you've averaged I think something like 70% incrementals. You obviously gave us an update on the Seepex improvement, which I would imagine is a decent tailwind and your margin comparison is again I think pretty easy in Q2. But is there anything else going on within PST in particular that you're doing to really ratchet up performance? I would assume price/cost is helping, and I remember some acute supply chain issues earlier last year, but maybe you could elaborate on what you're doing there.
Vicente Reynal: Yes. Andy, I think definitely price/cost is definitely helping. And as you also alluded the continue acceleration of the M&A bolt-on acquisitions that we have done, that's helping too as well. Seepex being one but even I point out to someone like ADI air dimensions, which again we acquired that at 50% EBITDA margins, and today it's above kind of call it 60%. So again, it's a combination of a lot of the things that we have put in action. So, yes, good price/cost, good synergy execution and the teams as we have said before, we're a little bit delayed on getting things like i2V in place at PST, but that is now ramping up and that's what we get the excitement that there should be more to come here.
Andy Kaplowitz: Got it. And then maybe you could give us a little more color into the M&A environment. Your funnel still seems significant, as you said. You reiterated the $200 million, $300 million inorganic target for 2023, but you mentioned you had the five LOIs left, I think you had 11 last quarter. I know you said that you had several potential targets close the LOIs stage. So is that really just timing or there fewer near-term opportunities than usual?
Vicente Reynal: Sure, yes. I think you said it very well. Yes, I mean, I -- so five LOIs now which is obviously less than what we said on the park order, but that's because I mean, we closed some and we departed from some but I think the good news is that we still have a good handful of those at the stage that is right before signing the LOI. So that's why it continues to give us that confidence that we will be able to reach the target that we set and nothing that we're worried about that. In terms of the activity, we continue to see strong momentum activity out in the market. Again, it has to do because of a lot of the sales searching that we do in terms of finding good transactions that could be part of our company. So I think momentum continues to be pretty good on that M&A bolt-on strategy that we have.
Operator: Thank you. Our next question comes from the line of Joe Ritchie of Goldman Sachs. Your line is now open. Please go ahead.
Joe Ritchie: Thank you. Good morning, everyone. Nice to hear and sorry to hear about the cyber issues. The maybe -- can we just try to square some of the commentary on the cybersecurity stuff? So appreciate the color that you gave earlier. I was just trying to size like the -- like sales and EBITDA impact and who knows whether my numbers are right. But my ballpark numbers were call it like roughly a $30 million to $50 million EBITDA impact. So I don't know, maybe a $100 million to $150 million revenue like am I ballpark correct in how much is shifting away from 2Q?
Vicente Reynal: I think Joe; you're definitely on the high side on that perspective. I think if you do the math in terms of that 45%, 55%, you come with a much lower number, I mean, roughly half of what you just said.
Joe Ritchie: Okay. All right. That's helpful. Thanks for clarifying. And then -- and then I guess maybe Vicente just is there any concern that that that some of the sales you were expected to ship in 2Q to push out, is there any concern that that that those sales go away? Or do you have high degree of confidence that you'll be able to ship in the second half?
Vicente Reynal: Yes, Joe, I think not at this point, because keep in mind that we're still living in a long lead time environment. So I think adding maybe kind of a couple of few weeks of extra lead time is not going to create any impact on what we have in the backlog that. So I don't think the answer to that no. And keep in mind that this is not -- this incident did not disrupt the majority of the company, right? So I think it's one that we think we have pretty good control sized and working diligently to get back in normal operations for -- by next week. And in the meantime also as we said, our team continues to minimize disruption by implementing workarounds. So there's ways on how you can continue to support customer and with different workarounds that, that you can do locally at some of the sites.
Joe Ritchie: All right. Great. That's great to hear. And look, you gave a lot of really positive order data across your different businesses. I guess I'll be the one that asks about power tools. It's really nice to see that that pick up a little surprising honestly. So maybe just kind of provide a little bit more color on what you're seeing in that business.
Vicente Reynal: Yes, Joe, thanks for the question. I'm sure the team -- the power tool team will be glad to hear that you asked a question of power tool. I can tell you that the team has done a phenomenal job on new product development. So believe it or not, similar to the story that we talked about here on Seepex on kind of how we get to short lead time and then launching new product and audience solutions, the power team -- the power tool team has done just a phenomenal job on that kind of reinvigorating the line and reinvigorating the channel and reinvigorating customers to come to us. So I think it's been an innovation story and it is basically what we said all along. The first we needed to fix the cost situation, and then we were going to start accelerating investments to key on keep the business growing. And with the help of IRX, we've been able to accomplish the first step, which was fixing a lot of the cost although continue to see improvement on that and then move pretty quickly to innovation. And that's what the team is doing. I mean, they're doing a lot of good nice products and launching now in the market.
Operator: Thank you. Our next question comes from the line of Joe O'Dea of Wells Fargo. Your line is now open. Please go ahead.
Joe O'Dea: I wanted to start on the updated guide and back half of the year expectations. I think going back a few months ago talked about embedding some prudence at the time just based on sort of macro uncertainty. Sounds like a continuation of that. But the way things sort of transpired over the course of the quarter certainly evidence of pretty strong demand. So if you take the cyber item aside and Vik, I think you talked about still seeing some or still sort of applying some prudence to the guide, but has anything changed in your underlying back half of your guide relative to sort of three months ago?
Vik Kini: Yes, Joe, I'll start with that. I think obviously when you look at the revised guidance now at the mid-point the 7% organic guide versus our previous guides, which is about 4% at the mid-point, 300 basis points of improvement. And I think the way you could think about it in just broad strokes is about two-thirds of that is driven by the Q1 beat with the other third really coming in the back half of the year. So the answer is yes. We are actually seeing slightly better second half growth than our original guidance would've implied. And as Vicente indicated in his opening comments, we're still seeing a split of approximately 70%, 30% price versus volume. And I think we would also say that at this point in time, we're still continuing to take a prudent view on volume in the back half of the year. Still continues to probably be the biggest source of potential upside. Backlogs are still strong, but like I said before still don't necessarily have full visibility after the back half of the year. So we're going to continue to execute. And if that continues to be a source of upside that's something that we'll execute to.
Joe O'Dea: Thank you. And then I also wanted to ask on cost opportunities, and as you see sort of raw materials coming down and supply chain easing, how you're approaching that in terms of the cost opportunity set and going out to suppliers, whether or not sort of the pricing that you've seen sort of applied to you on the -- on sort of the sourcing side of things. You've got some opportunities to push back on that and then similarly, are you seeing any of that from your customers and in any sort of more active kind of negotiations on the pricing side?
Vicente Reynal: Yes. Thanks, Joe for the question. Again on the cost opportunity, absolutely, we see a lot of cost opportunity and as you can imagine, we're leveraging some of our IRX tools to drive a weekly cadence on how we go after we call it price clawback, which is kind of looking at 2019 prices from some of our suppliers and how do we want to get as much as possible as we see some deflationary marketing happen in some areas. Now, I will say too as well, that there's some areas that we see some continued price inflation and reason why we continue to do some pricing activity out in the market. So it's not a -- but net-net we see stability and maybe going down and to your point, absolutely you can expect, I mean, we started this process. I would say maybe a couple quarters ago, going back to suppliers and start doing a lot of what we call reverse auctions through our process. In terms of our customers, I'll say it's a slightly different there, because as you know, our customers, they don't buy our product basically every week or every month. Or I mean, if they buy a compressor today, they're not going to buy a compressor until a few years later down the road. And in many cases, it's configured to the specific order. So it is difficult, I say to compare price to price, so difficult to argue for a price reduction when there's different features and different options that are being selected. So no, I will say as long as we continue to add incremental value to the product with the innovation that we're launching, we should be able to still continue to generate price.
Operator: Thank you. Our next question comes from the line of Nicole DeBlase of Deutsche Bank. Your line is now open. Please go ahead.
Nicole DeBlase: Maybe just starting with price/costs. So I know it was positive on a dollar and margin basis for the quarter. What is the expectation like of how the cadence of price/cost benefit trends through the year? Are you kind of at your maximum price/cost benefit at this point, or is it spread kind of evenly throughout 2023?
Vik Kini: Yes, Nicole, it's a great question. I think the answer is, first of all, your commentary on Q1 quite accurate. We do expect to be price/cost positive and margin accretive for the balance of the year. It is worth noting here that obviously the pricing levels in the first quarter quite strong. Remember we did take a number of our pricing actions in 2022 in that first quarter timeframe. So now as those start to anniversary, the price realization as we move into 2Q in the back half the year obviously does step down. But our expectation would be that, so does the inflationary levels as we're now comping that. So they actually kind of move somewhat in tandem. And that actually speaks obviously to the fact that we took those actions really either in advance or in concert when we saw those inflationary levels rising in the first place. So I think the answer to your question here is we would expect to continue to see good price/cost delivery, and the requisite margin expansion with it as we move to the balance of the year.
Nicole DeBlase: Got it. Thanks, Vik. And then just with respect to the order trends through the quarter, did you guys see like acceleration into March? How did things go from month-to-month? And if you're willing to comment on April, that would be awesome too. Thank you.
Vicente Reynal: Yes. Nicole, I'll say throughout the quarter, yes, we continue to see in Q1, we saw -- I'd say maybe a little bit more sequentially proven yes. As I mean, but that's I think typical that you see in the quarter in Q1 particularly, right, as people kind of come out from vacation December and now into January. So I think but that, I mean, nothing of note that I will kind of call out to be just a massive acceleration into March. Just basically the regular cadence that we see in a usual typical Q1 quarter and in April, I mean, continue to be the same as what we have seen here so far in the first quarter.
Operator: Thank you. Our next question comes from the line of Nigel Coe of Wolfe Research. Your line is now open. Please go ahead.
Nigel Coe: Thank you. Good morning, everyone. Thanks for the question.
Vicente Reynal: Hi, Nigel.
Nigel Coe: Hi, so we covered a lot of ground, but maybe just going back to the cyber-attack, I mean, any more color on in terms of which business lines and geographies perhaps that have been impacted by this unfortunate incident?
Vicente Reynal: No, Nigel, I mean I'll say that the only thing I will say is that, only certain item IT systems were disrupted that and that that did not impact the majority of the company. And as I mentioned, where things were impacted were proactively took immediate actions to maintain business continuity and minimize disruptions. And we expect to begin restoring the impacted systems to normal operation here coming next week. So I think it's -- it speaks volumes and I think you can read that as well in terms of what we're saying that we don't expect this incident to impact the full-year guidance, and we felt it was prudent just to kind of give you even more color as to what we see here in the second quarter. But yes, that's we're not probably going to get into any more specifics on that.
Nigel Coe: Okay. That's fair. And then, Vik, on the 45%, 55%, obviously the simple math gets you to 2Q EBITDA slightly below, maybe flat slightly below 1Q. Obviously very abnormal compared to normal seasonality. And there's been a pretty pronounced pickup in the last couple of years from 1Q to 2Q. So is this just the cyber incident with perhaps a little bit of conservatism baked in as well? Was there some 1Q pull-in from 2Q? Any sense on just how would you think about that?
Vik Kini: Yes, Nigel, I'll answer that. In the context of your second part of your question, were there any pull-ins into 1Q or any of that nature? The answer is no. I think the way you described it is very accurate. We mentioned that we're being prudent in terms of the phasing as a result of the cyber incident. And then as such, I think the way you're thinking about it and even how you've kind of thought about the EBITDA levels is fairly appropriate. So I wouldn't read into it any more than that.
Nigel Coe: And since you answered the question really quickly, can I just throw in one more please. On these reassuring projects in the U.S. but these -- this has been quite top zero this quarter. I mean, from your perspective, how much roughly of these large projects have had the air compression bid out this stage, in terms of kind of what have you seen so far in terms of the order book and what's on the come?
Vicente Reynal: Yes, Nigel, I -- yes. The one thing is that it's difficult to quantify specifically only because I mean when we take the order it could be reassuring or it could be something else. I mean clearly we know what goes into the Chips Act as an example and what goes into other things like that. But what we can tell you is what we said about the Buffalo facility, right? That we reopen Buffalo facility and that that business sold over $40 million in orders last year pretty quickly. And the momentum continues on that -- on that facility too as well. And a lot of that is really driven by the reassuring.
Operator: Thank you. Our next question comes from the line of Chris Snyder of UBS. Your line is now open. Please go ahead.
Chris Snyder: Thank you. Volume growth for the company really stands out versus broader industrial. Seems like it was up low-double-digits range or so for Q1. And when we kind of look at the rest of the year, it seems to imply not much of any volume growth over the next three quarters. Does that more so reflect the macro uncertainty or potential supply chain uncertainty? What's that reflecting because it does feel like a pretty sharp fall off?
Vik Kini: Yes. I think the way to think about it is fairly simple. First of all, I think your reading to Q1 is quite accurate. I'd say a couple things. One, remember our -- the comps as we move to the year, they do get more challenging, right? That's just the reality of kind of last year and the math and the comps. The other thing I would say and I'll go back to kind of what we said before, particularly in the second half of the year one, we have taken the organic guidance up. So obviously, we are seeing slightly better organic growth in the back half of the year than our original guidance would -- would've implied, which obviously speaks to kind of Q1 dynamics as well as backlog levels. But I do think that there's just a matter of continuing to be prudent in terms of back half expectations. And we would tell you right now that that organic volume growth in the back half of the year is probably the era we're being the most prudent on. So Chris, I wouldn't -- again, that, that's kind of my view in terms of -- in our view, in terms of how the organic volume side of the equation's playing itself out.
Chris Snyder: I appreciate that. And the company really good track record on price and holding that price. When we see some of the year-to-date reflation in metals, does that change the way you think about incremental price throughout the rest of the year because potentially some of these commodity inputs are going higher into next year. Thank you.
Vicente Reynal: Yes, I'll say I think, Chris, I mean so we take so maybe two-folds to answer your question. I mean, we go after the suppliers when we see definitely declines in our commodity or some other commodity numbers that we -- whether steel and things like that. Now if we see the re -- inflation, same things coming back, back up again. Yes, I mean, we definitely stay pretty nimble and we'll go out in the market with more price. Yes, absolutely. I mean, that's how we did it as we were seeing the inflationary markets, and we'll definitely do it again.
Operator: Our final question comes from the line of Nathan Jones of Stifel. Your line is now open. Please go ahead.
Nathan Jones: I'll go for a question on SPX Flow. You guys have highlighted many examples over the last few years of leveraging the portfolio to accelerate growth and significantly improving the margins of acquired businesses. Maybe you can give us some what kind of organic growth acceleration you're expecting and margin expansion you're expecting to be able to generate out of that business.
Vicente Reynal: Yes. Nathan, as we say -- as we -- so I mean, first of all, I'll tell you we're super excited with that business only roughly about a quarter into it. And anything that we see is really exciting. I mean, five incredible brands within that portfolio that we're leveraging and doing a lot of work, as you can imagine, on demand generation, i2V, and the team is super, super engaged on really accelerating that. I think in terms of growth, yes, I mean, we see no reason why this set of businesses should accelerate the growth based on all the initiatives that we're doing much faster than what they were growing before. And in terms of margin expansion, yes. Same thing that we said when we acquired the business that we see that this business could get to roughly in the 30% EBITDA margins.
Vik Kini: Yes. And Nathan, I would say we --
Nathan Jones: Where is it today?
Vik Kini: Yes. We said it was largely when we had done that acquisition largely in line with kind of ITS segment margin. So it's fairly close in line with the overall ITS segment margins. And as Vicente said, we have good funnel and strong runway ahead of us in terms of good margin expansion opportunities. I would also say, now that we're at one quarter in from the acquisition here first quarter execution the team did a fantastic job and integration continues to move very nicely. So we're quite pleased with how things are trending.
Nathan Jones: And then just on the power tools business, I think at the merger, the strategic plan was to divest that business. Has that changed or is that still the plan here at some point in the future?
Vicente Reynal: I mean, we -- no change in plans. I mean, we still continue to be same aligned in terms of our long-term strategy.
Operator: Thank you. As there are no additional questions at this time, I'll hand the conference back over to Vicente Reynal for closing remarks.
Vicente Reynal: Yes. Thank you, Candice. Once again, I mean, the Ingersoll Rand team has demonstrated their own match ability to execute despite these ongoing microeconomic volatility. We're very appreciative of our teams and the outperformance. This quarter truly demonstrates the power of IRX and the ownership mindset from our employees. And with that, just want to say thank you all of you for joining the call today and your interest in Ingersoll Rand. Have a great day,
Operator: Ladies and gentlemen, this concludes today's Ingersoll Rand first quarter 2023 earnings conference call. Have a great day ahead. You may now disconnect your lines.